Operator: Good day. And welcome to the Q2 2014 Ship Finance International Limited Earnings Conference Call. Today's conference is being recorded. At this time I would like to turn the conference over to Ole B. Hjertaker. Please go ahead, sir.
Ole Hjertaker: Thank you. And welcome everyone, to Ship Finance International and our second quarter conference call. With me here today, I also have our CFO, Harald Gurvin. Before we begin our presentation, I would like to note that this conference call will contain forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. Words such as expects, anticipates, intends, estimates or similar expressions are intended to identify these forward-looking statements. These statements are based on our current plans and expectations and involve risks and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Important factors that could cause actual results to differ include conditions in the shipping, offshore and credit markets. For further information, please refer to Ship Finance's reports and filings with the Securities and Exchange Commission. The Board has declared a $0.41 dividend this quarter, in line with the previous quarter. The dividend represents $1.64 per share on an annualized basis or 8.4% dividend yield based on closing price yesterday. The Company has now paid an aggregate of nearly $18 per share since 2004. Net income for the quarter was $22 million or $0.24 per share after a $7 million negative non-cash mark-to-market on interest swaps and theoretical costs relating to a convertible note. Aggregate charter revenues recorded in the quarter, including 100% owned subsidiaries accounted for as investment in associates was nearly $160 million in the quarter. The tanker market remained at soft levels during the second quarter, but despite this there was a positive cash fleet contribution of $1.8 million on the Frontline vessels and year-to-date the accumulated cash fee per month [ph] its $13.5 million on this vessels. We also have exposure to the crude oil tanker market through our two modern Suezmax tankers operated and approved with sister vessels owned by Frontline 2012. The average time charter equivalent for the second quarter was approximately $14,300 per day for these vessels which is down from the levels seen in the first quarter. However, the third quarter has so far been firmer than the second quarter and we expect an improved contribution from this vessels this quarter. The EBITDA equivalent cash flow in the second quarter was approximately $130 million and last 12 months, the EBITDA equivalent has been approximately $500 million. In the second quarter and including all 100%-owned assets, around 50% of our charter revenues came from the offshore segment, around 30% from tankers and the remaining 20% split between our drybulk and container assets. This includes cash sweep and profit-based contribution. We expect the liner segment share to increase as we take the delivery of the new 8700 TEU Vessels later this year and early next year and we still have significant capital available for new accretive investments. In March, we announced the acquisition of nine second-hand container vessels between 4,100 and 5,800 TEU built in 2001 and 2002. These vessels originate from the German KG market and the sales were under instruction by the financing banks. Three of the vessels were delivered to us in March and the remaining six vessels were delivered to us during the second quarter. The price we paid is only a fraction of the construction cost and marginally higher than current scrap values. The vessels have good specifications, including 1,300 reefer plugs and some of the vessels have also been upgraded with shore-based power systems. We have secured long-term bareboat charters for all the vessels for periods between five and six years with Mediterranean Shipping Company, the second largest liner in the world and there are purchase options with profits based feature at the end of the charter periods. We also have an expansion option in our favor if the purchase options are not exercised. The vessels are expected to generate approximately $15.5 million in aggregate EBITDA per year with full cash flow effect in the third quarter. The Company’s four 8,700 TEU container vessels under construction in Korea are ahead of schedule with one vessel expected to be delivered at the end of the third quarter, one in the fourth quarter and the last two in early 2015. The vessels are built to very high specifications, including high reefer capacity and the latest in eco-design features. We have secured seven year time charters to the Hamburg Süd container line for the vessels at terms we believe reflect the expected operating efficiencies for these new vessels. The EBITDA contribution from the vessels is estimated at approximately $46 million per year on average during the charter period, giving us a very good return on invested capital. We have also recently acquired two 82,000 deadweight ton Kamsarmax bulk carriers in combination with long-term charters through a state-owned charterer in China. The vessels were built in China in 2012 and the charter is for a period of approximately eight years. We took delivery of the second vessel only one week ago and the annual EBITDA contribution is estimated to approximately $7 million on average during the eight-year charter period. As for the container vessels on charter to Hamburg Süd there are no options for the charterer to extend the charters or purchase the vessels at the end of the chartering period. We have also recently announced an agreement to sell thee 1999 built VLCCs which is used for third special survey in the coming months. We expect to receive cash proceeds of $77.5 million in aggregate including a cash compensation from Frontline and approximately $48 million in 7.25% amortizing notes from Frontline. With an improved tanker market currently we expect these vessels to have a positive impact on the cash sweep calculation until delivery to the new owner. And the sales proceeds is expected to be reinvested in new assets. The backbone of our business remains to be our significant portfolio of long-term charters. Most of our vessels are chartered out on a long-term basis and we still have nearly 10 years weighted average charter coverage. For full details on a vessel-by-vessel basis you can contact us on email ir@shipfinance.no. We have $4.7 billion of fixed rate order backlog and the estimated EBITDA equivalent backlog is approximately $4.1 billion or around $44 per share. These numbers include only the reduced base rates from the Frontline vessels and do not include the cash flows from two Suezmax vessels operated in the spot market nor do they include revenues from our other vessels after the end of their current charter periods. I would also add that most of our offshore assets have been paid down significantly already and underlying asset exposure is very limited even in a softening market scenario. With respect to Frontline, we have the interesting combination of very low financial leverage, well below current scrap levels and significant leverage to the market through the cash sweep arrangement. We have amortized down the debt of these vessels very quickly and have reduced the loan amounts by more than 80% since 2008. Even compared to reported scrap value levels, the financial leverage is very comfortable as illustrated by the red line in the graph. With this low leverage, there is no net loan amortization required and even with the scratch base rates for Frontline without any cash contribution, the free cash flow is approximately $17 million or $0.18 per share per quarter this year. On top of that, if the average VLCC market for the year should hit $25,000 as estimated by several market analysts, the cash sweep could be around $0.11 per share per quarter, increasing to $0.13 per share per quarter in a $30,000 per market but of course the actual profits is based on the performance of these specific vessels. So we cannot give any specific guiding on contribution in the third or the fourth quarter. The threshold level kicks in already at $17,675 for most of the VLCCs and $13,200 for the Suezmaxes and is capped at $6,500 per day per vessel. The cash sweep as I mentioned is an annual calculation. So the average over the year will determine the final payment. But if the last two quarters are strong enough we could still get full cash sweep for the year on many vessels despite soft second quarter. We cannot comment on Frontline’s financial position or their plans for refinancing their convertible loan due in April next year but we do note that they reported more than $60 million of free cash at the end of the second quarter after taking delivery of a Suezmax new building without leverage and they have raised more than $50 million over the last few quarters by issuing new shares. And to put our exposure to Frontline in perspective, the EBITDA backlog from all the Frontline vessels put together is approximately the same as the EBITDA backlog from the single drilling rig West Linus, which we took delivery of earlier this year. If we then switch to our performance for the last 12 months, the normalized contribution from our projects, including vessels accounted for as investment in associates, the EBITDA, which we define as charter hire plus profit share less operating expenses and G&A, was nearly $500 million in the period. Net interest was $116 million or approximately $1.24 per share and the normalized ordinary debt installments relating to the Company’s project was around $200 million. This is excluding prepayments relating to sale of older assets and without net amortization on Frontline vessels given the low leverage on those vessels. Going forward we expect a positive contribution from our recent acquisitions. And with that, I will leave the word over to Mr. Harald Gurvin, our Chief Financial Officer, who will take us through the numbers for the second quarter.
Harald Gurvin: Thank you, Ole. On this slide, we have shown our pro forma illustration of cash flows for the second quarter compared to the first quarter. Please note that this is only a guideline to assess the Company's performance and is not is in accordance with U.S. GAAP. For the second quarter, total charter revenues before profits hit cash sweep were $155 million or $1.66 per share, up from $147.9 million in the previous quarter. Revenues from VLCCs are in line with the previous quarter while revenues from Suezmaxes were down in the quarter due to lower earnings on the two Suezmaxes trading in the spot market. Revenues from liners which include container vessels and car carriers were down in the quarter following CMA CGM’s exercise of purchase options for the two 13,800 TEU container vessels in the first quarter, slightly offset by the delivery of the nine container vessels on charter to MSCs during the first and second quarter. The increase in offshore revenues is due to West Linus, which was delivered in February, earning full day rate following commencement of the sub-charter to ConocoPhillips in end of May, which will have a full effect in the third quarter. Vessel operating expenses and G&A were $30.7 million, compared to $34 million in the previous quarter, mainly due to the exercise options on the two CMA CGM vessels. We recorded a cash sweep of $1.8 million from Frontline in the first quarter, down from $11.7 million in the first quarter and also a profit share of approximately $300,000 relating to the four Handysize drybulk carriers down from approximately $500,000 in the previous quarter. Income from financials investments were $2.5 million in the second quarter, slightly down from the previous quarter. So overall, this summarizes to an EBITDA of $108.9 million for the quarter or $1.38 per share, compared to $129.7 million in the previous quarter. We then move on to the profit and loss statement as reported under U.S. GAAP. As we have described in previous earnings calls, our accounting statements are slightly different than those of a traditional shipping company. As our business strategy focuses on long-term charter contracts, a large part of our activities are classified as capital leasing. As a result, a significant portion of our charter revenues are excluded from our book operating revenues and instead booked as revenues classified as repayment of investment in finance leases, results in associates and long-term investments and interest income from associates. If you wish to gain more understanding of our accounts, we will also, this quarter, publish a separate webcast which explains the finance lease accounting and investment in associates in more detail. This webcast can be viewed on our website, shipfinance.org. Overall, for the quarter we reported total operating revenues, according to U.S. GAAP, of $73 million, which includes 1.8 million in cash free from Frontline in the quarter. We recorded a gain of $5 million following the settlement of a claim relating to four Handysize drybulk carriers redelivered to us before expiry of the charters. The total settlement is $30 million, of which $15 million was received in the first quarter, $5 million in the second quarter with the remaining balance to be paid during the second half of 2014. Total operating expenses were $47.2 million, giving net operating income of $30.8 million. Results in associates for the quarter was $8 million up from $6 million in the previous quarter, mainly due to West Linus earning full [ph] data rate from end of May. We also recorded a non-cash negative mark-to-market derivatives of $5.9 million in the quarter. So overall and according to U.S. GAAP, the Company reported net income of $22.4 million or $0.24 per share for the quarter. Moving on to the balance sheet, we showed $49.5 million of consolidated cash at the end consolidated cash at the end of the quarter. In addition, we had approximately $129 million freely available for drawdown under revolving facilities. Available-for-sale securities of $61.9 million includes $39.8 million invested in short-term tradable securities as a short-term liquidity placement. In addition, the second lien notes in Horizon Lines are recorded and available-for-sale securities at only $22.1 million or 40% of par value, including accrued interest. The $79 million amortizing Frontline notes are included in amount due from related parties on the current and long-term assets. The remaining balance as per June 30th was $74 million, but the notes are conservatively recorded in our balance sheet at 72% of par value. The three ultra-deepwater units on charter to Seadrill and the harsh environment jack-up drilling rig to North Atlantic Drilling are included in the balance sheet under investment in associate and amount due from related parties long-term. Our investment in the subsidiaries owning the units is in the form of both equity and shareholder loans from the parent company. The total equity investment in the rigs is thus a combination of the two and the split between equity and shareholder loans from quarter-to-quarter will depend on intercompany accounting. Stockholders equity stands at approximately $1.3 billion, including a $104 million of deferred equity. The book equity ratio, including deferred equity was approximately 41% at the end of the quarter. Then looking at our liquidity and financing status, as mentioned, the company had a total available liquidity of approximately $178 million at the end of the quarter, which includes $49 million in cash and approximately $129 million freely available under revolving credit facilities. We also had $62 million in available for sale securities at quarter end as previously described. On the debt side, we had approximately $3.2 billion of gross interest-bearing debt outstanding at quarter end. Consolidated bank loans were $1 billion and bank loans in our 100%-owned subsidiaries accounted for investment in associates were $1.5 billion at quarter end. In addition, we had approximately $714 million of consolidated senior unsecured notes outstanding as per June 30th. The figure includes NOK900 million bonds maturing in 2019, of which $145 million was net outstanding and NOK600 million bonds maturing in 2017, of which $93 million was net outstanding. The figure also includes the $350 million convertible notes maturing in 2019 [ph] and $125 million convertible notes maturing in 2016. Both our outstanding convertible notes can be repaid in shares at the Company’s option at maturity. The graph shows the scheduled installments and amounts to be refinanced over the next years. The graph includes $101 million of refinancing of six offshore-supply vessels which was going through the end of August of at very attractive terms. We are constantly in compliance with all financial covenants under our loan agreements at quarter end and we have very limited refinancing requirements over the next years. It is worth noting that Ship Finance has been in full compliance with all financial covenants for each of the 42 quarters since the Company was established. Given the financial turmoil and depressed shipping markets over the last years, this gives us a very strong standing in the banking market and we recently agreed new financing with both existing banks and new banks. We continue achieving excellent financing terms and have seen a significant reduction in loan margin over the last year improving the cash flow from our projects. The next slide provides some more detail on our remaining CapEx after quarter end. Follow delivery of West Linus in February and the nine container vessels on charter to MSC between March and May this year, we have four container vessels under construction in Korea at quarter end and through Kamsarmax driver carriers to be delivered. The four new buildings are state of the art 8,700 TEU container vessels with a total contract price of $340 million, of which $127 million has been paid out at quarter end. The yard payments have so far been funded from our available liquidity but we now arrange post-delivery financing for the vessels at very attractive terms. The terms of the financing matches the seven year charter down they [ph] feed and Ship Finance will provide only a limited guarantee for loans. The financing amount is higher than the remaining CapEx and will give a positive cash effect on delivery of each vessel. In May we announced the acquisition of 2012 Kamsarmax driver carriers in combination with charters to a state-owned Chinese charter in excess of eight years. The vessels were delivered to us in July and end of August and have been funded from our available liquidity but we are in the process of arranging financing for these vessels. Then to summarize, net income for the quarter was $22.4 million or $0.24 per share, including $2.1 million in cash sweep and profit split and a $5.9 million in negative mark-to-market derivatives. The aggregate EBITDA was $128.9 or $1.38 per share. The Board has declared a quarterly cash dividend of $0.41 per share for the quarter. This represents a dividend yield of 8.4% based on the closing price as of yesterday. We have taken delivery of 12 vessels and rigs so far in 2014, all employed under long-term charters and supporting our long-term distribution capacity, with the investment opportunities in multiple segments and high capital available for new investments. And with that, I give the word back to the operator who will open the line for any questions.
Operator: Thank you. (Operator Instructions) We’ll now take our first question from Herman Hildan from RS Platou. Please go ahead.
Herman Hildan - RS Platou: Just a quick question. You highlight that your cash flows will ramp up going forward and also your strong liquidity positions looks debate [ph] in terms of the dividends. What should we expect going forward also in terms of investments and timing for that?
Ole Hjertaker: The board never gives specific guiding on dividends going forward but of course as we have reinvested a lot of capital and still have good investment capacity, we still believe there is room before to build the dividends, but we unfortunately cannot give you specific guidance quarter-by-quarter. But I think we have demonstrated over the last few years now that we have built the dividends stone-by-stone and we have an aim to both reinvest funds coming out of assets like the Frontline vessels where we get the lot of cash out and will then reinvest that in new projects and other financings that we have arranged that also have freed up quite a bit of liquidity for us. And as Harald Gurvin mentioned, also when we take delivery of the 9,000 TEU new buildings that -- we expect that to be a -- call it cash positive event as we have paid in more to the yard during construction, so we can draw more loans at delivery than the last installment. And that has opportunities in several sectors but of cannot be specific until we have something tangible to report to the market but I would say, for sectors I would highlight both the container space and also the offshore space as sectors where we have seen several opportunities. But that said we also look at the deals both on the tanker and bulker side and the latest deal we did was the two Kamsarmax bulkers that we just took delivery off.
Herman Hildan - RS Platou: [Indiscernible] mentioned the true focus [ph] on the product and crude back there portfolio at the moment. What kind of opportunities do you see there?
Ole Hjertaker: Well, it’s been a very interesting market development in that segment. We’ve seen significant ordering of vessels particularly last year. There could be restructures or opportunities coming out of that where call it the market participants who may wish to optimize the cost of capital, could work with us to define the interesting so call it sale leaseback transactions. If you look at what we do, we basic -- you can say that we have two call it main products in our portfolio. One is a cost of capital arbitrage where we believe that we can source capital more efficient and at lower cost than most other players in the market and therefore, we can offer very attractive terms and still make a good profit on doing deals with other players in the market. And then on the other hand we’re also able to position ourselves in market segments like we did last year on the order for containership new buildings, then turning around and chartering them up long term. So we believe [indiscernible] of those two that we can find good opportunities. But generally I would say that both on the tanker side and the bulker side, a lot of the market focus there has been ordering vessels to be employed in the spot market. Our preference is of course when we can find long term employment, which will give us more visibility on distributable cash flow going forward. So with that, of course, so we have to be careful with and with who we work with to generate that kind of visibility.
Herman Hildan - RS Platou: I guess you’ve also seen recently the long term charter markets in particular for tankers [ph] have been moving up. And I mean what else referring on there, particularly relevant situation at the moment, how do you feel like you're negotiating the build design in terms of finding new solutions in your current portfolio? Do you expect that -- do you see that -- do you feel like you have a good position due to the charter market picking up or how do think about that?
Ole Hjertaker: Absolutely, I think they call it the short term charter market. It doesn’t necessarily have a direct impact on the longer term charters rates but I think generally we see quite a few opportunities but we try to be quite selective. When we do a deal, typically you have several factors that have an implication on the deal. One is who the counterpart is, how comfortable we are with their ability to call it to service the contract also in a volatile market environment and the other is the residual value where we are particularly focused I would say, where we have seen of course with the change, we call it with the technological development, we have seen recently call it, call it equal or whatever; that will have an impact on the residual of assets. So we try to be careful. We try to be to build in relatively conservative. We see assumptions for residual value towards the end. And that of course is also question of how we finance the deals, how efficient leverage can be structured on top of the deal which drives to equity reference we can expect out of such actions.
Herman Hildan - RS Platou: And if you speak with your current portfolio, do you feel like, are you comfortable that, without taking into account new delivery surcharge, are you comfortable that your current portfolio will continue to support the current dividends that you’re paying? Or do you see in their term or any parts of the portfolio that you’re worried about in terms of near term ability to generate a the same amount of cash flow from the portfolio they have now?
Ole Hjertaker: Yes. We think the portfolio we have is quite robust. We commented briefly on Frontline and they also in their press release today, voiced some concerns about their ability to refinance the convertible loan next year. But Frontline, going from being our only client and a 100% of our backlog is now becoming our what you say relatively speaking less and less of an important factor and portfolio we do a lot of deals with other counterparts. And as I mentioned earlier, the remaining backlog with Frontline on the EBITDA basis is now actually in line with one single rig we took delivery of earlier this year. So as we continue building the portfolio, diversifying across sectors with multiple counterparts, right now I think we have 16 or 17 different chartering counterparts. I believe that itself -- the diversification, that brings support to our distribution capacity. So our board guides -- what we say, stated in the strategy and outlook section or linked to our press release, the board is quite comfortable with the portfolio and also relatively comfortable that the dividend capacity can be increased going forward but we cannot give you specific guiding on whether that is next quarter or quarter after and the specific amounts.
Operator: (Operator Instructions) We’ll now take our next question from Ariko Fukashiro [ph] from Armory Investments. Please go ahead.
Unidentified Analyst : Actually this is Marcello Cusack [ph]. Just quick questions trying to think about your leverage a little bit and you came to that point in the cycle that you have more ships delivered. So kind of have maximum leverage without getting most of the benefit. So if you could just help me out here, I think you have three groups of assets here are in your balance sheet that didn’t generate EBITDA yet which would be the 8,700 TEU containerships, the Kamsarmax and the MSI ships right? And if you could -- and is there something more, please let me know, and how much you already paid for those vessels and what’s the book value of those vessels so far so we can take them out from calculation?
Ole Hjertaker: Yes, in the press release -- let me just find that here, and we have provided our CapEx overview as of June 30 for those two investments and from that you can see that on the 8,700 TEU vessels as of June 30, we had $213 million remaining. That is of an investment in the region of $350 million in total. That’s $340 million plus of course there are cost and expenses and also some additional equipment you invest in when you build a new vessel. And that is basically in line or below what we expect to finance or what we have agreed in financing for those vessels. On the Kamsarmax bulkers, total acquisition cost there is around $62 million, of which, around $10 million was paid when we agreed the deal in the second quarter and the remaining has been paid afterwards. There we have paid -- that’s the updated [ph] cash so far but we’ve -- we are in the process of financing those vessels and based on feedback from the banks we are quite comfortable with our ability to do that. I think it also worth mentioning that we see a strengthening financing market in terms of -- when you look the terms. So we -- and we see new banks also coming in to the market. So we’re quite happy to see that their margins are coming down, which means more money of course for us and our shareholders.
Unidentified Analyst : Okay, and the MSC vessels, that’s also already joined into that before?
Ole Hjertaker: The MSC vessels, they have been financed already. They have been financed very conservatively, so with a relatively small amount but they were all delivered and paid for in the second quarter.
Unidentified Analyst : Okay, but they haven’t generated EBITDA, [indiscernible]?
Ole Hjertaker: Well, yes they are generating EBITDA and three of the vessels were delivered already at the end of the first quarter. So three of the vessels had full EBITDA contribution in the second quarter while the remaining six vessels were delivering during the second quarter, so have full cash flow effect in the third.
Operator: There are no further questions in the queue at this time. 
Ole Hjertaker: Thanks and then I would like to thank everyone for participating in our second quarter conference call. If you do have any follow up questions, there are contact details in the press release. And with that I would wish you a nice day and enjoy the upcoming Labor Day holiday.